Operator: Welcome to the Endeavour Silver First Quarter 2017 Earnings Conference Call. As a reminder all participants are in listen only mode and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Meg Brown, Director of Investor Relations. Please go ahead.
Meg Brown: Thank you, operator. Good morning everyone and welcome to the Endeavour Silver Q1 Earnings Conference Call. On the call today, we have the company's CEO Brad Cooke as well as our President and COO Godfrey Wilson, and our CFO Dan Dickson. Before we get started, I'm required to remind you that certain statements on this call will contain forward-looking information within the meaning of applicable Securities Laws. These may include statements regarding Endeavour's anticipated performance in 2017 and future years, including revenue and cost forecasts, silver and gold production, grades and recoveries, and the timing and expenditures required to develop new mines in mineralized zones. The Company does not intend to and does not assume any obligation to update such forward-looking statements or information other than as required by applicable law. With that, I'll turn the call over to our CEO Brad Cooke.
Brad Cooke: Great thanks Meg, and welcome everybody to this Q1 conference call on our financial results. Our financial performance in the first quarter was actually sharply improved compared to the first quarter of last year and even though revenue and cost of sales were down due to lower production our earnings were up as a result of the higher precious metal prices, foreign exchange gains and tax recoveries. That earnings actually increased 230% to $6 million on the quarter. EBITDA was up 4% to $9 million, cash flow from operations increased 19% to $8.9 million and revenues decreased 12% to $36.4 million. Our sales actually averaged between 2 and 5% above average spot prices for silver and gold respectively. And our cash cost relatively flat up only 2% at $7.81 per ounce of silver payable metal to growth credit. All in sustaining cost however were up 64% to $18.24 per ounce reflecting our willingness to reinvest our free cash flow to extend mine lives and grow resources. Cash was relatively flat though only 2.5% to $17.5 million on the quarter and working capital is flat at $81.9 million. Generally looking at the individual operations we enjoyed strong free cash flow at Bolanitos. We had a modest profit Cubo and a modest loss at Guanacevi. Guanacevi is actually the only mine underperforming it’s plan, it’s still very much a work in progress, recovering from some operating issues that we had last year and there's still clearly work to do to get Guanacevi back to good health. We are however seeing rise in our Bolanitos tonnage and slow rise in our Cubo grades coming into the second quarter. So we are hopeful that those two mines will outperform their plans this year. Q1 was also a very busy time for us on a development projects. We released preliminary economic assessment for the El Compos mine which is scheduled to become our fourth mine. We hope to receive the exposes covered by the end of the quarter, break ground and see initial production by year end. That preliminary economic assessment report should be filed and available on SEDAR by May 11th. We're also very busy on our Teranera project which we hope will become mine number five. Production decisions still to be taken there as we wait for and work on the environmental permits, debt financing to help facilitate the construction of Teranera and related issues and opportunities. That report the pre-feasibility report on Teranera should actually be filed on or before May 18th. So I think operator that's the highlights for the quarter. Why don't we open this up for Q&A?
Operator: Thank you, (Operator Instructions) first question today comes from Justin Stevens with Raymond James, please go ahead.
Justin Stevens: Morning guys, just a few questions from me. In terms of grade the Bolanitos there are sort of lower silver higher gold than what we were anticipating. Is the Q1 grades sort of what we're going to be looking at going forward here from that one.
Brad Cooke: Sorry, grades going forward Justin, this is Godfrey.
Justin Stevens: Yes, Bolanitos.
Brad Cooke: At Bolanitos. We were a little bit slower getting into Pateros which is why the grades were lower than we anticipated as well but we've come through some operational delicate areas and we should be back into Pateros in full steam this quarter and so you should see the grades coming up back to what they were scheduled to be.
Justin Stevens: Sounds good, and just also on the cost side, patented things very well I think but are these cost per ton sort of what we're expecting going forward here.
Dan Dickson: Justin this is Dan, those costs per ton are relatively in line with what we expect in line with our budget for the year, I'd said Guanacevi because the lower production had higher cost per ton, so if we can improve the production tonnage throughout the year we should see those cost per ton come down.
Justin Stevens: Sounds good, and just on the sort of M&A front or at least land acquisition side, are you guys looking at all to sort of pick up or consolidate new line packages, I mean if you've got a bit of extra cash to throw around.
Brad Cooke: Hi Justin, it's Brad again. We're always active on the M&A front, you know from time to time we pull the trigger on acquisitions last year we did two El Compos and Paral. Within the districts of the existing three mines we're always looking to acquire properties and expand our land positions in these districts and I think there's certainly an opportunity to do more of that this year, particularly at Guanacevi and Bolanitos and to a lesser extent at Cubo. And you know for the development projects we've also been active on expanding our footprint. So news on that later this year.
Justin Stevens: That was good, that's it from me, thanks guys.
Brad Cooke: Thanks Justin.
Operator: [Operator Instructions] There are no questions at this time, I'll turn the conference back over to Mr. Brad Cooke for any closing remarks.
Brad Cooke: Well you guys are letting us off easy this quarter must have been good news. Thank you operator, and thanks to everybody for listening in. let’s have a quick look ahead to Q2, obviously we're still very active on the exploration front with I think currently five or six drills working and we're taking a break on some of the drills just to collate results. It is reasonable however to expect some news from Paral this quarter perhaps another news release on Teranera. We've got some land acquisitions I think might be ready in the [indiscernible] district and as the operations continue to improve we're obviously hoping that Q2 will look better than Q1. So I think we're on track for another decent quarter and we look forward to chatting in early July on our operating results. Thanks all for joining us and we'll turn this back over to the operator.
Operator: This concludes today's conference call, you may disconnect your lines, thank you for participating and have a pleasant day.